Operator: Hello, and welcome to Party City Q2 2022 Earnings Conference Call. My name is Lauren, and I will be coordinating your call today. There will be an opportunity for questions at the end of the presentation.  I would now like to hand you over to host, Eric Warren, Vice President, Treasurer and Head of Investor Relations to begin. Eric, please go ahead.
Eric Warren: Thank you, operator. Good morning, everyone, and thanks for joining us. This morning, we released our second quarter 2022 financial results. You can find a copy of our press release on our website at investor.partycity.com. Now, I'd like to introduce our executive team who are here on today's call. We have Brad Weston, our Chief Executive Officer; and Todd Vogensen, our Chief Financial Officer. We'll start the call with some prepared remarks by Brad and Todd before we open it up for Q&A. Please note that in today's discussion, management may make forward-looking statements regarding their beliefs and expectation about the Company's future performance, future business prospects or future events and plans. These statements are subject to risks and uncertainties that could cause actual results to differ materially from these statements. Although we believe that the expectations reflected in these forward-looking statements are reasonable, we can give no assurance that such expectations will be realized. We expressly disclaim any duty to provide updates to our forward-looking statements, whether as a result of new information, future events or otherwise. We urge everyone to review the safe harbor statements provided in our earnings release, as well as the risk factors contained in our SEC filings. During today's call, we'll refer to both GAAP and non-GAAP financial measures of the Company's operating and financial results. For more information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to the earnings release. And with that, I'll turn the call over to Brad Weston.
Brad Weston: Thank you, Eric. Good morning, everyone, and thank you for joining us today. Before we begin our review of our second quarter results, it is important to recognize that we have been definitely managing a broad range of challenges, including the pandemic over the past two plus years and we are confident in our transformation strategy focused on increasing our relevancy with consumers and strengthening our operating structure. In an unprecedented environment, our teams have been laser focused on our customer and the experience they have with our brands. We have been and will continue to be celebration occasion obsessed, to ensure we are inspiring our customer to create joyful celebrations beyond what they imagined and making it increasingly easy to create unforgettable memories that will last a lifetime. With that as context, in light of the macroeconomic environment we are all monitoring, further burdened by the continuing broad-based supply chain volatility, we have lowered our outlook for the year. We expect our sales performance will continue to exceed 2019 levels, reflecting the consumer's recognition of the progress we have made improving their experience. Overall, during Q2, we saw a topline results largely in line with expectations, generating total sales of $527 million, decreasing 1.5% year-over-year. This is on top of a very strong second quarter last year, resulting in double-digit sales growth over pre-pandemic levels. This was achieved despite the multitude of macro factors impacting consumer spending, including inflationary pressures, rising interest rates, geopolitical instability as well as annualizing last year's stimulus payments. Our gross margin was below our expectations driven by unique pressures in Q2, as we navigated the helium shortage I described last quarter, along with much higher than expected freight costs and port and storage fees. While these cost headwinds are predominantly transitory, they negatively impacted gross margin and adjusted EBITDA by approximately $32 million in the quarter. Adjusted EBITDA for Q2 was $46 million versus $86 million last year. Our inventory at the end of Q2 was $677 million. We continued to strategically bring in inventory early, given the continued broader supply chain challenges to ensure we are well positioned ahead of Halloween and as we rebuild in stocks, which were too low last year. Importantly, this additional inventory is evergreen in nature, limiting any markdown risk and outside of the logistics challenges associated with the larger receipt volume, we feel very good about the quality of our inventory. Before continuing, let me underscore the temporary nature of incremental costs impacting our margins. I'll begin with the largest challenge, the freight, storage and port fees. Coming into this year, we anticipated elevated freight costs, but actual conditions and costs have been more challenging than expected. In addition to unanticipated changes in demand, our focus on improving our in-stocks and wholesale customer service levels, combined with ensuring, we have received our critical Halloween product have caused our receipts to temporarily exceed our distribution center capacity. This creates incremental charges as containers await processing and unloading. We are pleased to have Halloween product here and available for customers earlier than last year, but there is an associated expense. Turning to helium costs. In light of the helium shortages in the market, to meet our customer's needs during the critical graduation time period, we elected to make spot purchases. The outlook for helium supply has now improved as expected. In the U.S., the Bureau of Land Management plant is now up and running and in Qatar, plants resumed operations in April after being taken offline for maintenance earlier in the year. Given this the timing of spot purchases and the balloon demand peaks dramatically in graduation season followed by a drop-off the rest of the year, we believe the vast majority of the impact is behind us. As we have previously discussed, we have also significantly diversified our helium supplier base and entered into multiple well partnerships as well as long-term supply agreements that have meaningfully improved our ability to source helium. Moving to sales. In this environment of shifting consumer demand, we also see shifts in our channel and category sales. Retail sales decreased 4.6% with brand comparable sales decreasing 5.6% or an increase of 12.2% versus 2019. Our core categories are performing very well against pre-pandemic levels while being more challenged versus last year's strong performance. Compared to 2019, our balloon business in particular is performing very well, up nearly 60%, due to the emphasis we have put on this category as a key differentiator in our strategy. A number of our seasonal businesses saw solid performance in Q2, and we were extremely pleased with Easter, Mother's Day, Father's Day, Pride, and Graduation results. For the quarter, in aggregate the seasonal businesses I just mentioned comped up approximately 30% and our overall seasonal sales were up 1.3% versus prior year and 3% versus 2019. Our comparable sales in core categories declined 5.5% in the quarter versus 2021, but were up 21% versus 2019. Our focus on driving improvements in quality and innovation in our assortments as well as thoughtful pricing as we seek to offset higher expenses continues to strengthen performance. Graduation, which is an important season for us performed very well, driven by new product innovation in higher priced items, meeting customer demand for products that make their celebration unique and special. While growth in our core categories remained up significantly compared to 2019 levels, we experienced some pullback versus 2021. Our balloon business was impacted by helium constraints in select markets. While our team was able to mitigate the shortage compared to previous years through a stronger supply network, markets where we experienced temporary outages saw a negative sales impact. Other key categories like birthday were impacted by an increase in travel and away-from-home celebrations compared to 2021. We continue to leverage our full omnichannel capabilities and the strength of each of our channels to provide customers flexibility and the convenience of multiple fulfillment options. Digitally-enabled sales represented approximately 13% of our retail sales in the quarter, as we continue to deliver an enhanced customer experience through new digital capabilities. Our new website launched in June and enhances our mission of moving from selling party products to providing the full party solution. We are excited to deliver a digital experience that shifts from our transactional experience of shopping SKU by SKU to an inspirational and empowering celebration building experience. We are already achieving a very strong 3.5 conversion rate, which will only accelerate with continued optimization. The new balloon builder continues to build momentum. We experienced 150,000 total balloon builder visits for graduation season, which delivered almost 20% of seasonal digital balloon sales. Our conversion rates and AOV continued to improve as customers increasingly enjoy the experience. Our wholesale business had a strong quarter with sales growth of 13% driven by two factors. First, we experienced growth with existing customers as our product supply position improved. Our wholesale shipments to Canadian Tire continued to accelerate as we invest in our partnership with them. We expect this growth to continue through the back half of the year. Second, we were able to partially offset helium challenges by leveraging our expansive air filled balloon portfolio, which we have been strategically expanding since 2018. Within our Wholesale segment, our Anagram business again delivered growth on a standalone basis. Anagram did experience some softening due to the broader helium supply challenges. We expect continued wholesale sales growth in the second half of the year, driven by a continuation of growth from our traditional customer base, increasing Canadian Tire business and larger Halloween orders from customers that experienced unprecedented sell-through levels last season. With our vertical model, we are uniquely positioned in the celebration space with unrivaled consumer insights, manufacturing assets, and sourcing capabilities. This positions us to broadly serve consumers where they shop, knowing they are driven to different retailers for specific shopping occasions. To capitalize on this opportunity, our team has created branded selling solutions that leverage our deep understanding of the consumer. As a result, we are able to offer an expanded wholesale customer base a more comprehensive party solution to meet the needs of their customers and compliment their business. These solutions, which we have branded, go brightly and party impressions were introduced to the market in Q2. The initial response has met our expectations and we are beginning to secure tests. The benefit of these efforts will begin primarily in 2023, as we seek to learn from our tests and expand accordingly. Across all of our channels, we continue to utilize our pricing power to create margin opportunities without compromising our leadership position in the celebration space. In June, we implemented another significant round of strategic retail increases and have been pleased with both sales and margin impact. Even as we navigate to improve profitability amidst these short-term challenges, we are focused on our customer experience and important improvements to fortify our operating model. We continue to invest in our NXTGEN stores, which continue to perform very well. We opened 29 NXTGEN stores in Q2, totaling 159 NXTGEN stores as of the end of the quarter. These stores continue to average a mid single-digit sales increase versus control stores with a run rate that delivers a payback period on each store of less than 24 months on average. We anticipate ending 2022 with 180 to 195 NXTGEN stores remodels or openings in the chain, lower than our initial 200 stores by year-end plan, as we are more tightly managing CapEx and expenses in the back half of the year given our revised outlook. We are taking incremental actions to further mitigate supply chain challenges through enhanced product visibility, additional inventory planning capabilities, demand and supply forecasting improvements and enhanced capacity planning. We are also adding new talent and further integrating supply chain functions. Additionally, we continue to implement new data and reporting platforms that will improve our insights, analytics, and productivity. As it relates to ESG, in September, we will release our initial environmental, social and governance report entitled inspiring the future celebration. In the report, we will outline our priorities, which stem from our initial priorities assessment and provide insights into each of our major initiatives. We are committed to advancing our ESG program, which we believe will drive meaningful value for all of our stakeholders. Finally, we are ready for the important Halloween season and remain cautiously optimistic. We will have an improved year-over-year experience for the consumer and are planning to operate 130 to 150 Halloween City stores this year, which is up from last year's 90 stores. In closing, our topline results were in line with our expectations while the bottom line continues to face elevated cost pressures that are predominantly transitory in nature. As the macro environment continues to evolve, we continue to navigate the dynamic operating environment and proactively manage what is in our control. We remain confident in our strategies and ability to deliver long-term sales and earnings growth. Our financial results are not where we expected them to be this year. Our sales continue to be higher than they were pre-pandemic despite the headwinds we have faced. We have a unique and powerful position in the market, and we believe we are able to inspire customers and make it easy for them to create unforgettable memories in ways no one else can. Celebrations enjoy are important in all times, and now more than ever. Importantly, the progress we have made and continue to make against our transformation strategy to increase our relevancy with consumers and strengthen our operating structure is serving us well in building the Party City brand for the future. And now I'd like to turn the call over to Todd to discuss the second quarter results and our 2022 outlook in greater detail.
Todd Vogensen: Thanks Brad, and good morning, everyone. Today, I'll focus on the key highlights of our second quarter results, and then I'll discuss how we are approaching the remainder of the year. For full details regarding our financial results, please refer to our earnings press release and the accompanying slides, which are available on the Investor Relations section of our website. We delivered second quarter results that were roughly in line with our revenue expectations while we experienced continued cost headwinds that pressured the bottom line. Despite the volatile backdrop, we continued to make progress against our strategic initiatives and we are benefiting from the continued execution of our transformation strategy. For the second quarter, consolidated revenues decreased 1.5% versus the prior year period, primarily driven by lower retail sales partially offset by higher wholesale sales. Retail net sales decreased 4.6% versus last year driven by lower sales of product in our core categories, driven by the macro level inflationary impact on consumers as well as the lapping of a strong comparison period when COVID restrictions began to lift last year. Brand comparable sales decreased 5.6% year-over-year due to the softness in select core categories, partially offset by solid performance in our seasonal categories, including graduation, which was up over 5% versus the prior year. Wholesale revenue for the second quarter increased 13.2% versus the second quarter of 2021, principally due to higher sales to franchise customers as well as strong performance in our Canadian business. Adjusted gross margin rate for the second quarter decreased approximately 670 basis points from the prior year period driven primarily by freight, labor and raw material cost increases. We estimate these inflationary and supply chain pressures, many of which are transitory in nature, negatively impacted gross margin by approximately 660 basis points. Additionally, helium costs in the quarter represented an approximate 150 basis points headwind versus prior year. As we've discussed previously, we continue to take pricing across the business, which served as a sizeable offset to the inflationary pressures in the quarter and represented approximately 350 basis points of benefit in the quarter. Adjusted operating expenses were approximately $151.2 million or 28.7% of net sales, a 60 basis point increase versus prior year, primarily due to higher store labor costs as a result of wage rate growth. As a result, adjusted operating income was $5.9 million compared to operating income of $68.9 million in Q2 last year. Adjusted EBITDA was $45.8 million in the second quarter compared to $85.8 million last year and second quarter adjusted earnings per share was $0.10 compared to adjusted earnings per share of $0.29 in the prior year period.  And one additional housekeeping item. You'll note a large quarterly tax benefit in our second quarter results. In accordance with GAAP, we apply an annual tax rate to our quarterly income. For 2022 due to the nearly break even GAAP, pre-tax income is implied in our guidance. Our annual tax rate is significantly above normal. The use of this annual rate resulted in a timing-driven $174 million benefit to our net income in this period. We expect to benefit from the second quarter to be offset by tax expense in future periods, resulting in an annual tax expense of approximately $12 million to $16 million in 2022. You can find additional disclosure in our second quarter 10-Q tax footnote, which we filed with the SEC this morning. Now turning to our balance sheet and cash flow metrics. Inventory was up approximately $250 million or 59% year-over-year, but down 14% versus the second quarter of 2019. As Brad mentioned, given the continued broader supply chain challenges, we strategically brought in inventory early to ensure that we are well positioned ahead of Halloween and to rebuild our in-stock levels versus last year. Approximately 25% of the higher inventory levels is associated with inflation and approximately 15% is driven by earlier Halloween receipts. We feel good about the quality of our inventory. The largest increases are in categories, such as balloons, kids birthday and Solid Tableware, which are all largely evergreen in nature and do not carry high markdown risk as a result. Year-to-date net cash used in operating activities was $99.1 million versus net cash provided by operating activities of $13.8 million in the prior year period. The higher cash usage was largely driven by an increase in working capital levels as well as the decline in operating results. Now, let me turn my comments to the outlook for the second half of 2022. Given the current inflationary trends, as well as the challenging consumer backdrop and expected continued supply chain pressures, we are updating our 2022 guidance. As a reminder, our guidance does not assume any impact from situations we can't reasonably predict with any certainty, such as COVID variance, increasing geopolitical instability, or other macro disruptions. However, our outlook does include what we've seen so far in terms of the macro backdrop, along with the mitigation measures that we put into place. So for fiscal 2022, we now expect net sales of $2.15 billion to $2.225 billion or a change of approximately negative 1% to positive 2% versus 2021. Brand comp in the range of approximately negative 4% to negative 1%. GAAP net loss of approximately $36 million to $10 million and adjusted EBITDA of approximately $170 million to $200 million. In terms of capital expenditures, we now expect our 2022 spend to be in the $95 million to $105 million range or approximately $65 million to $75 million net of tenant improvement allowances. And lastly, we now expect to complete between 85 to 100 new Next Generation stores in 2022. To help with bridging the change in our EBITDA guidance versus the previous level of $235 million to $265 million, there are three main elements. First, Q2 EBITDA came in approximately $10 million lower than expectations. Second, we see lower net sales of approximately $60 million in the second half of 2022. Included in our second half 2022 sales assumption is a sales trend consistent with our second quarter rate versus 2019. And third, approximately $25 million of higher than expected inflationary and supply chain cost impacts in the second half of 2022, driven predominantly by higher port and container fees, as well as higher freight expense than previous expectations. In addition to this outlook, we also wanted to provide some color on the third quarter. Given the prevailing sales trends, we currently expect third quarter total company sales to be flat to slightly lower year-over-year with an EBITDA margin rate in the low single-digit range. Now stepping back to help frame the biggest 2022 cost drivers that the business is facing versus 2019. We estimate headwinds of approximately $90 million in incremental supply chain costs inclusive of higher freight costs , $50 million in incremental material input costs and $10 million of higher helium expense, again, all against 2019 levels. Many of these cost factors are clearly transitory, but challenging predict with certainty when and to what extent they will revert to historical levels. Let me now turn to the liquidity. We ended the quarter with $195.9 million in total liquidity comprised of $39.2 million in cash and $156.7 million of revolver availability. At quarter end, we had a principal balance of debt net of cash of $1.447 billion. Despite the continued macroeconomic factors impacting the business, we feel comfortable with our current liquidity and feel itâs sufficient to run the business. We do continue to run the business prudently and in a discipline manner, but if necessary, we have a number of additional levers at our disposals to further enhance liquidity, including additional CapEx reductions, delaying some non-revenue driving project spend as well as reducing certain portions of our cost structure. Also this morning, we announced that we intend to commence a consent solicitation with the holders of our Anagram First and Second Lien Notes that will allow for an unsecured intercompany loan of up to $22 million to be made from Anagram to the Party City Credit Group. The loan will provide the Party City Credit Group, with enhanced liquidity to further support our strategic priorities and ongoing investments in the business. The consent solicitations, the terms of which were negotiated with institutions holding approximately half of Anagram First and Second Lien Notes, shows the focus of the company and its creditors, including those in the Anagram Credit Group and supporting the Party City Credit Group, our ongoing operations and the performance of the broader Party City business.  So in summary, the company is facing an operating environment that remains challenging as cost headwinds persist, and the companies faced with inflationary pressures. Importantly, many of the headwinds that we and the broader industry are facing are temporary. We remain encouraged in our ability to weather the storm and we continue to make meaningful progress on our strategic initiatives to increase our relevancy and reinforce our position of authority when it comes to celebrations. With that, I will turn the call over to the operator to start the Q&A session.
Operator: Thank you.  Our first question comes from William Reuter from Bank of America. William, please go ahead.
William Reuter: Good morning. My first question on the strong wholesale sales. Do you think that this was early orders from customers who similarly to your sales in the retail business were trying to make sure that they were in good position and were there sales that were pulled forward from the third quarter? And if so, how much might that have been?
Brad Weston: So our wholesale business performed steadily really across the board. We had strength in our partnership with Canadian Tire and sales are increasing, and we anticipate that they'll continue to increase. We had good sell-in across franchise and independent stores. Yes, they are excited to receive Halloween on a timely basis this year as our Party City stores. We have not shipped all of Halloween yet, so we still have Halloween shipments in front of us and our grocery, drug and mass businesses is strong and our Anagram sales are also positive. So it was a good counterbalance to the retail results.
William Reuter: Okay. That's helpful. And then you talked about a $90 million headwind this year in terms of supply chain costs. Some of those, like the higher product costs of 50, that's probably not something that changes next year, but some of these such as freight costs, maybe helium have come down. Do you expect of that $90 million, if spot rates today were to hold, do you have an expectation of how much of that may decline next year?
Todd Vogensen: It's really difficult at this point to nail down exactly what might happen in 2023. So we're kind of resisting giving guidance on exactly how much of that might come back in next year. But clearly, when you look at freight costs of $90 million, the raw materials â a lot of which are actually indexed to energy costs. And then the helium costs, there are a lot of transitory costs in there. So we'll feel the pressure of those costs as we go across the rest of 2022, for sure. As costs are kind of â a lot of them are embedded in our inventory at this point, but as we get into next year, clearly, the hope is we see some relief just when and how much is probably a difficult question to answer right now.
William Reuter: Okay. And then just lastly for me. In terms of the June price increases, I'm sure that it varied tremendously by category, but is there any way to give us any sense of the magnitude of those and have you seen any changes in sales of those categories with regard to elasticity? Thanks.
Brad Weston: Yes. Consumer reaction to prices is really dynamic. So as you know, we're constantly testing price and we do enough so that we have a good understanding of price elasticity as â at the category and at the SKU level as well as competitions pricing. We're encouraged by our pricing power. But we're being judicious in this environment. We've not seen a material change in elasticity versus what we had been seeing and we're satisfied. We have a good enough view of elasticity and competitive pricing that we've pushed prices to the proper threshold, especially given we see these cost pressures as largely transitory. We do not want to do long-lasting damage to consumersâ view of our price value proposition. We're willing to take additional pricing actions in the back half of the year of necessary in our view of price elasticity. This demonstrates it would have a positive dollar profitability impact.
William Reuter: All right. Brad, Todd, thank you very much. That's all for me.
Operator: Thank you. Our next question comes from Joe Feldman from Telsey Advisory Group. Joe, please go ahead.
Joseph Feldman: Yes. Hey. Good morning, guys. Couple of questions here. I maybe first start with, can you explain the new $120 million in borrowings that you guys are doing? I guess, I'm not fully understanding that it would appear that there's more concern about liquidity in the second half of the year than I guess the initially thought based on the ABL and your position?
Todd Vogensen: I'm sorry. You might need to help me out a little bit. The new $120 million in borrowing, what exactly are you referring to?
Joseph Feldman: Didn't you say that you guys commenced a solicitation agreement with Anagram borrow $120 million?
Todd Vogensen: Oh, it was $22 million. So hopefully, I didn't misspeak. It's a $22 million where we're essentially just taking cash that â excess cash at Anagram and moving it over to Party City.
Joseph Feldman: It was excess cash. Okay. Sorry about that.
Todd Vogensen: Yes. No problem.
Joseph Feldman: Thanks for clarifying. Yes, the line keeps cutting out today and I apologize, maybe it's my phone, but I think the webcast was clear, but not the phone. Anyway, I guess I'm curious with regard, what's your current thinking on Halloween guys? Are you assuming it's a down Halloween again? Is that how we should plan for this?
Brad Weston: Yes. As we said in the script, we're cautiously optimistic that Halloween is something people are excited to celebrate assuming, no pandemic issues this year. I'm bullish because of the year-over-year improvements we've made on our assortments or in-store merchandising or marketing, and the digital experience, our go-to-market approach is really our best yet. The product delivery to stores was late last year. And we're encouraged by early demand for Halloween. We also believe there's potentially some pent-up demand from last year, and we've noted high sell-throughs from wholesale customers last year. The question is always asked around Monday versus Sunday, the data that's available at a national level, as well as our own, generally suggest that a Monday Halloween is similar to a Sunday Halloween. You still have a full weekend right in front of it for the parties that drive a lot of fun, adult, young adult Halloween activities. And as we've noted, our seasonal categories have been a real bright spot for us thus far this year. Consumers appear to be spending for seasonal center operations that they largely missed in the last two years. And I would just add that our approach to Halloween City pop-up stores has dramatically improved and the expansion from 90 a year-ago up to 130 to 150 this year puts us in a much stronger position than even just the 750 Party City chain stores.
Operator: Thank you. Our next question comes from Karru Martinson from Jefferies. Karru, please go ahead.
Karru Martinson: Good morning. When you look at the traction that you have here and the third quarter, and the price increases that you took in June, somewhat surprised by the low single-digit EBITDA margin on the guidance. Is your thought process here that we're going to be just very fourth quarter weighted in terms of delivering the year?
Todd Vogensen: There certainly is that element to it. I think also we're getting the timing of some of the freight costs actually flowing through. When we talk about some of the things that Brad talked about on having to move through containers that are distribution center, those costs are hitting us now both in terms of the cost at the DC, as well as the cost at stores process â to process all the freight. And so that's putting pressure on the cost structure in Q3, as we get into Q4, you get into a more normalized cost structure and that's when really October hits with Halloween and dollars fall to the bottom line very quickly.
Karru Martinson: Okay. And when you look at the liquidity nearly 200, I understand, if we look at that number, this excess cash that we're moving over from Anagram, that wasnât essentially built into that number already. Now we're just moving it over to the parent box, correct?
Todd Vogensen: That's exactly right. You got to do exactly right.
Karru Martinson: Okay. So when you look at your working capital needs, having brought in, I think you said 15% more of the seasonal, where do you guys see yourselves ending the year here on liquidity, certainly understanding that this is a transitory year for you?
Todd Vogensen: Yes. I think calling a transitory year is exactly the right way to describe it. We don't specifically give free cash flow or cash flow ending guidance, but clearly, with our EBITDA guidance of $170 million to $200 million, it'll end up being â this year, we would expect to be not positive on free cash flow, it'll end up being lower than last year. But we do still feel like we're going to end at a comfortable level.
Karru Martinson: All right. Thank you very much, guys. Appreciate it.
Todd Vogensen: Okay. Thank you.
Brad Weston: Thanks, Karru.
Operator: Thank you. Our next question comes from Carla Casella from JPMorgan. Carla, please go ahead.
Carla Casella: Hi. First, just a follow-up on Karruâs. The $22 million that you're asking to transfer, is that on top of the cash that's there now? Like, is there a restriction on transferring the cash that's there now? And if there a â is it that matches the 23, the amount of 23 that are due is that kind of what the target of the cash move is for?
Todd Vogensen: Actually,  helping with that, it's coincidental that it just happens to be the amount that the 20, 23s are going to be due for. Really, it was more so looking at just cash within the system. And the fact that we did have excess cash saving at Anagram that was within the box of Anagramâs and such separate credit groups. And knowing that we have a lot of the initiatives that need funding on the Party City side, it's more, just a chance to take advantage of that excess cash and put it where it can go to its best use?
Carla Casella: Okay. And was there a thought to potentially just refinance all of those notes at 103 and do more data at Anagram or was that not available to pull to at this point?
Todd Vogensen: Yes. We've looked into a lot of different things and I would say, as most people probably can appreciate, this is not exactly the most awesome market for financing right now. So we are wanting to make sure when we refinance those notes, that we do it in favorable terms that we do it at something that can be a good, long-term sustainable structure. And haven't quite found that yet, so it was more expeditious just to address the $22 million and move on from there.
Carla Casella: Okay. Great. And then I have a follow-up on inventory. As $631 million, it's way above any level we've seen since 2019 or that was the last time, we saw that kind of a level. When do you expect the inventory peak? Have we hit it because of the pull-forward of Halloween? Or is that still to come in 3Q?
Todd Vogensen: Yes. Good question. So we have to hit it at this point. The inventory coming in for Halloween, is much earlier this year and largely it was either in transit or on site, as well orders to make sure that we got our core inventory back in stock. Same thing was either in transit or on site to a large degree. So I would say from a peak inventory perspective, we've hit that level.
Carla Casella: Okay, great. And then one follow-up on the business balloons. You mentioned it's up 60% since 2019. I'm wondering if that's great and you can see it in the store. So I'm just curious how much of that is price and if there's any helium cost also baked in that 60% increase?
Brad Weston: So the increase is really sales driven, not helium cost driven. We've taken our prices up in balloons to some degree. I don't have an exact inflation number for you, Carla. But suffice to say, it's an area where we are differentiated. It's fairly in elastic category. And so, we've managed to take the right level of price increases without really impacting demand to greater degree.
Carla Casella: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Hale Holden from Barclays. Hale, please go ahead.
Hale Holden: Thank you. Good morning. I had two questions. One, I was wondering, if you could tell us where liquidity stands today because it's probably a little bit more compressed than where you into the quarter is my guess?
Todd Vogensen: We haven't done a bring down of liquidity for today, but we did recently come out with an announcement that we had expanded our availability under our ABL. When we did that, we did bring down on our liquidity and the Party City Credit Group liquidity very similar when we did that bring down in third week of July versus where we ended the quarter. 
Hale Holden: Okay. Thank you. And then the second question I had was just trying to parcel together the price increases that you guys took on June versus then slightly revised comp outlook for retail on the back half of the year. Are you seeing traffic decline that's sort of offsetting the price increases that you're taking to get to the negative comp outlook or how should we kind of parcel that together?
Brad Weston: So we're really focused on growth across key metrics that demonstrate our increased relevancy including transactions, average order value  increases have been waited to hire average unit retail and AOV given the price actions, that we've taken in response to inflationary pressures and pricing does become more relevant factors. We move through the back half of the year due to the fact you'll have a bigger, positive impact on sales and POS margins. Since we've continued to raise retail prices as recently as June and our wholesale price increases are more heavily weighted to shipments in the back half. So we've been focused on those price increases across categories. We've also looked at pricing across zones and different income median income demographics. 
Hale Holden: So I was actually going to ask on that last point because you guys have sort of a national footprint and all different sorts of markets. Are you seeing bigger swings in different income demographics?
Brad Weston: Yes. So it is one of the strongest trends that we've seen in our sales results, which really is consistent with what broader retail has experienced is that indeed stores in geographies that have higher average median household income have consistently outperformed lower average median household. We look at this on a quintile basis so that we can segment and identify stores that allow for different actions to address different customer needs. And as an example, as I just mentioned, we've even been able to take more surgical price changes. As we've taken that into account, it's allowed us to change the focus on our marketing and as the customer looks for value in this environment, it's important for us to register value in our marketing, on our website, in our stores. 
Hale Holden: Great. Thank you so much.
Operator: Okay. That is the end of the Q&A session today. So I'll now hand you back over to Brad Weston for closing remarks.
Brad Weston: Thank you, Lauren. Before exiting the call, I'd also like to recognize the hard work and resilience of the entire PCHI team, who are dedicated to our customers and the success of our business. Have a joyful day, everyone.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.